John Dolan: All right. Let us begin the conference. Greetings and welcome to the PetVivo Holdings Second Quarter Fiscal Year 2023 Financial Results Conference Call. I am John Dolan, the Chief Business Development Officer and General Counsel at PetVivo. Today’s call is being webcast and will be posted on the company’s website for playback. Before we begin, I would like to remind everyone that comments made during this conference call by PetVivo’s executives may contain forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995 and are subject to risks and uncertainties. Any statement that refers to expectations, projections or other characterizations of future events, including financial projections or future market conditions, is a forward-looking statement. PetVivo’s actual future results could differ materially from those expressed in such forward-looking statements for any reason, including those listed in its SEC filings. PetVivo assumes no obligation to update any such forward-looking statements. PetVivo filed its earnings release and Form 10-Q with the SEC today, which provide a detailed between our financial results. These documents can be found in the SEC website and the Investor Relations section of our website. I would like to now turn the conference over to John Lai, the CEO and President of PetVivo. Please go ahead, John.
John Lai: Thank you, John, and welcome. Joining me today is Bob Folkes, our Chief Financial Officer. I would like to begin with discussing some highlights from last quarter, and then Bob Folkes will discuss the financial results and conditions in greater detail. I will conclude by sharing some of the additional thoughts of our business strategy as key focus areas for fiscal 2023 before we open the line up for questions. Our key highlights for the second quarter for fiscal 2023 were reported revenues of $223,280 as compared to $4,977 in the second quarter of fiscal year 2022. Revenues for the second quarter included net revenues of $118,264 per shipments of Spryng to MWI, a subsidiary of AmerisourceBergen – who is our lead distributor of animal health products pursuant to the distribution and sales agreement with MWI dated June 17, 2022; expanded our national presence and have open accounts with veterinary clinics in 14 Southern states now. We’ve also added a 3 ml syringe as a new SKU. We are very pleased with the launch of Spryng with MWI. We have started training their sales team of over 400 territorial managers and are happy with the sell-through of Spryng product into the market to the veterinary doctors. We will be attending the American Association of Equine Practitioners Annual Conference in November of 2022, and we’ll be coordinating sales efforts with MWI at this important meeting. This is the largest conference for veterinary equine practitioners. I would like to now turn the call over to Robert Folkes, our Chief Financial Officer, who will discuss our financial condition.
Bob Folkes: Thank you, John, and good afternoon, everyone. As John mentioned, the most significant event for the quarter was a total revenue of approximately $223,000, highlighted by the net revenue of $118,000 to MWI. At September 30, 2022, the company had $2.3 million in cash and working capital of $2.1 million. During the quarter, we increased our inventory to $305,000 in order to support our expected revenue growth for this current fiscal year. We continue to use the net proceeds from our initial public offering to expand our sales and marketing efforts and invest in clinical studies in order to gain that acceptance and increase revenues from the sale of Spryng. So, now I will turn the call back over to John Lai.
John Lai: Thank you, Bob. I would like to talk more about the business strategy and key focus areas for fiscal 2023. We’re in the process of generating a whole series of clinical evidence to support the equine and small animal market with MWI. John Dolan will go into a little more detail about these studies. We hired sales territorial managers to support the relationship with MWI, and we’ll be adding more as the year goes on. We’re also exhibiting at multiple conferences to promote awareness of Spryng. And the conference would also presenting at multiple conferences where Dr. Joe Manning and Dr. Ann will be discussing the applications of Spryng. Also within our Spryng Health website, we have a whole series of supporting videos to show various injections or the most common injections as an educational. So, we’re building this whole system of education to support MWI, and this will be very crucial as we move forward into getting the product out into the market. And we are, once again, getting really good traction in the marketplace. Now, I would like to turn the call over to John Dolan to provide an update of our clinical trials, which will be helpful in supporting our relationship with MWI. In addition, we expect that having more clinical data about the efficacy of Spryng will help us gain more acceptance from the veterinary doctors. I would like to turn it over to John Dolan.
John Dolan: Thank you, John. As John mentioned, clinical trials are an incredibly important thing to our company. We have entered into a clinical trial services agreement with Colorado State University on November 5, 2020, in which we are evaluating the injection of Spryng on elbow-associated osteoarthritis in dogs. Unfortunately, because of COVID, there were some delays with this trial. We expect this study to be fully enrolled by the end of December 2022 and the data available in the fourth quarter of fiscal year ended March 31, 2024. Additionally, we entered into a canine clinical study with Ethos Veterinary Health in May of 2022. This is a pilot study in which we are evaluating intra-articular injection of Spryng in dogs with stifle disease for initial product tolerance and efficacy. We expect the data for the first cohort of dogs to be available in or before March of 2023. Also in October 2022, we completed enrollment in a canine tolerance study in which we are evaluating the intra-articular injection of Spryng in dogs for product safety. We expect to have this data available in the fourth quarter of fiscal year ended March 31, 2023. And finally, in October 2023, we initiated a feline tolerance study in which we are evaluating intra-articular injection of Spryng in cats for product safety. We expect to have this data available in or before June of 2024. We expect to conduct additional clinical studies in order to support our relationship with MWI and gain vet acceptance of Spryng. Now, I’d like to turn it back over to John Lai.
John Lai: Thank you, John. I would like to open now for questions. John Dolan, can you explain to people how to ask questions, please?
John Dolan: [Operator Instructions]
Operator: [Operator Instructions]
John Dolan: Very good. Thank you. I am not seeing any questions. Does anyone have a question?
John Lai: Well, John, if we’re not seeing any questions, I’ll just make a closing comment and then we can end this call.
John Dolan: Very good.
John Lai: Yes. So the AAEP that’s coming up, which is the American Association of Equine Practitioners, last year was a very big event for us, gave us a whole series of vets that were trying our product, and we were able to get some good repeat orders from these veterinary doctors. This year, we expect it to be quite larger. It’s a much bigger event, having it held in San Antonio as well as having – if you saw the news release last Friday, I believe, or sometime this week, we talked about Dr. Joe Manning will be presenting some of the applications and successes that we have been seeing using the product in the equine space for multiple applications. So, we’re pretty excited about that working with MWI. And then also at our Spryng Health website, Dr. Turner gives a whole series of videos that shows how to use the product and what applications. And then also we have a whole series of intra-articular injections for the small animal side within that website. That website is more designed towards the veterinary professionals. So that’s some of the supporting data we talked about on the previous call or the previous quarter that we would be developing and would be very instrumental in helping MWI educate the vets as well as helping them secure orders on the various applications. So we’ve got multiple catalysts coming. We completed the Ethos study at the end of October. And given that it takes a while to get it published, so we’re looking at getting it published February, March of 2023, which is in time for the new season of the major trade shows and events that we can present a lot of this data at. That’s the plan, and that should help us get the small animal adoption at a much faster rate. So with that, and if there’s no more questions, that will conclude our call.
Q - :